Operator: Good day, ladies and gentlemen, and welcome to the Sands Second Quarter 2025 Earnings Call. [Operator Instructions] It is now my pleasure to turn the floor over to Mr. Daniel Briggs, Senior Vice President of Investor Relations at Sands. Sir, the floor is yours.
Daniel J. Briggs: Thank you. Joining the call today are Rob Goldstein, our Chairman and CEO; Patrick Dumont, our President and Chief Operating Officer; Dr. Wilfred Wong, Executive Vice Chairman of Sands China; and Grant Chum, CEO and President of Sands China and EVP of our Asia operation. Today's conference call will contain forward-looking statements. We will be making those statements under the safe harbor provision of federal securities laws. The language on forward-looking statements included in our press release and 8-K filing also applies to our comments made on the call today. The company's actual results may differ materially from the results reflected in those forward-looking statements. In addition, we will discuss non-GAAP measures. Reconciliations to the most comparable GAAP financial measure are included in our press release. We have posted an earnings presentation on our website. We will refer to that presentation during the call. Finally, for the Q&A session, we ask those with interest to please post one question and one follow-up so we might allow everyone with interest the opportunity to participate. This presentation is being recorded. I'll now turn the call over to Rob.
Robert Glen Goldstein: Thanks, Dan, and good afternoon, and thank you for joining us. Marina Bay Sands had a historic quarter EBITDA of $768 million. We had forecasted that MBS could do $2.5 billion annually, and that may just happen this year. All the pieces are in place for this property to continue to perform. Mass gaming and slot win did $843 million, reflecting 97% growth in Q2 of 2019 and 40% higher than last year same quarter. We are in the right place at the right time. Singapore is a very desirable destination, and our product is as good as it gets. It's difficult to find superlatives that describe the magnitude of this result is unprecedented for a single building to perform like this. Macau did $566 million of EBITDA for the quarter. We have underperformed in this market. We were not aggressive enough as it relates to customer reinvestment. We believe our buildings would be enough. We were wrong. And so in the middle of the quarter, we changed our approach to enable us to increase market share and EBITDA. We will, however, be market sensitive. Our assets remain the strongest in the world. The Londoner is open and moving towards our goal of $1 billion of annualized EBITDA. This new approach will create a higher market share and EBITDA. At the same time, Macau's GGR accelerated this quarter, a very positive sign. Our goal is to lead in Macau, Macau [indiscernible] Macau's increased GGR and our strong assets will enable us to deliver improved results in the future. Let's turn to Patrick for more commentary.
Patrick Dumont: Thanks, Rob. Macau EBITDA was $566 million. If we had held as expected in our rolling program, our EBITDA would have been lower by $7 million. When adjusted for higher-than-expected hold in the rolling segment, our EBITDA margin for the Macau portfolio of properties would have been 31.3%, down 80 basis points compared to the second quarter of 2024. All 2,450 rooms and suites at the Londoner Grand were available for the last 2 months of the quarter. We are focused on delivering revenue and cash flow growth at the Londoner across the portfolio. Margin at the Venetian was 35.6%, while margin at the Plaza and Four Seasons was 34% and margin at the Londoner was 31.9%. We expect growth in EBITDA as revenues grow and as we use our scale and product advantages, together with targeted reinvestment to better address every market segment. Now turning to Singapore. MBS' EBITDA for the quarter was $768 million at a margin of 55.3%. If we had held as expected our rolling program, our EBITDA would have been lower by $107 million. There will naturally be fluctuations in hold rate in any specific quarter driven by game mix and player preference. The record financial results of Marina Bay Sands reflect the impact of high-quality investment in market-leading products and the growth in high-value tourism. We believe we are still in the initial stages of realizing the benefits of our investments in Marina Bay Sands. Turning to our program to return capital to shareholders. We repurchased $800 million of LVS stock during the quarter. We also paid our recurring dividend of $0.25 per share. In addition, during the second quarter and in July, we purchased $179 million worth of SCL stock, increasing the company's ownership percentage of SCL to 73.4% as of today. We believe repurchase of LVS equity through our share repurchase program will be meaningfully accretive to the company and its shareholders over the long term. We look forward to continuing to utilize the company's share repurchase program to increase returns to shareholders. Thanks again for joining the call today. Now let's take questions...
Operator: [Operator Instructions] Your first question is coming from Stephen Grambling from Morgan Stanley.
Stephen White Grambling: Starting with Macau, I appreciate the acknowledgment of the shortfall somewhat there. But perhaps remind us of how you're thinking about turning the tide from a competitive standpoint and what KPIs or timing investors should maybe be thinking about in terms of seeing some of the market share go in the opposite direction?
Kwan Lock Chum: I'll take that, Stephen. Thank you for the question. I think around late April, we started to implement a more aggressive customer reinvestment program. And I think we're seeing some encouraging initial results from those increased levels of reinvestment. As we get into May and June, the performance of SCL did improve. And I think we will be continuing to adjust to the market conditions as and when necessary. We're also looking at opportunity for us to perform better from our smaller properties at Parisian and Sands. So overall, the reception to Londoner has been phenomenal. I think we're getting exceptional feedback from customers, and that's obviously growing nicely. But obviously, this quarter is still just the start. All of the rooms, as Patrick referenced, were available from late April, and we intend to continue to yield better at Londoner and Macau. So that property has much further to go. And then the rest of the portfolio, we have to adjust our reinvestment levels according to the product and according to the individual product mix within the property. And I think this process has only just started, and we'll continue to see, I think, improvements in our results as we have done since May and June already. And as you can see, we have a sequential improvement in our mass GGR market share, up 8% for the quarter, and we intend to drive better improvements and also hopefully recapture that market share in the coming quarters.
Patrick Dumont: So I just want to say one thing, which is we're not where we want to be in Macau. We feel like we've made great investments. We have great products, and we believe we can grow EBITDA from here. We're very focused on it. We realize we have work to do in our reinvestment programs. We have things that we think we can do to be more competitive, and we're going to take some action. And we think we have an approach that we hope in the long run will create growth for us, both on the revenue and EBITDA side.
Stephen White Grambling: So maybe one quick follow-up there just on Macau. You said you're not where you want to be. What does that mean for capital allocation in that market? You used to have a pretty healthy dividend payout in that market as a percentage of free cash flow and earnings. If you go -- I mean, should we be waiting for that turnaround to see you go back down that path? And if you start paying out a dividend, is that prior kind of ratio the right way to think about it going forward?
Patrick Dumont: Yes. So I think the key thing is that we've always been focused on return of capital, particularly with the dividend at the SCL level. I think as we see the CapEx roll off from the Londoner, which was a very meaningful investment that we feel will generate cash flow over the long term, we're very happy to make it. But that being said, hopefully, our CapEx profile looks better in the future, as you can see from our CapEx expectations that we published. And so when that happens, we'll look to return to increasing the dividend over time with the support of the SCL Board. But for us, we think that the best use of free cash flow there other than investing in growth projects is to return it to shareholders. And you've seen how we've handled in the past, and we'll look forward to doing that again in the future. And I think the levels will be based on our expectations of cash flow production going forward.
Operator: Your next question is coming from Shaun Kelley from Bank of America.
Shaun Clisby Kelley: For Grant or whoever wants to take it, maybe we could just start in Macau. We did see across the market a bit of an improvement sequentially as the quarter went on in sort of overall market GGR. We've heard some mixed views about how either promotionally driven or VIP or event-driven that was. So hoping to get a little bit of color on just what's driving that improvement? How sustainable you think it is and just broader health of the macro in the market right now?
Kwan Lock Chum: Sure. Thanks for the question, Shaun. I think the market clearly accelerated from May and June, obviously, was a standout performance I think, helped by the calendar of events that prevailed in June. If you look at the segment breakdown, clearly, as you can see from the DICJ data as well, the rolling -- the VIP segment performed very well during the quarter and was up 26% year-on-year by our estimates. But the non-rolling slot win also improved, and we're still in the high single-digit growth region for the quarter. So I think there's some very encouraging signs. I think a mix between improved customer intensity, but also the calendar of events and the offerings by the operators helping to drive the increased patronage as well.
Shaun Clisby Kelley: And then maybe just to switch gears as a follow-up on Singapore. Rob, obviously, just incredible performance on the numbers. I mean, over $750 million from a single building in a single quarter is kind of hard to wrap your brain around. Can you give us your best stab at how we should think about maybe a run rate or sort of level of productivity for this property moving forward? Are we sustainably above $600 million of EBITDA a quarter? I know -- I think we have a good sense of what your stretch goal here is at $2.5 billion core. But just help us think about it to level set expectations given it wasn't a fairly easy comp on the mass market. And obviously, VIP, it can be a volatile quarter-to-quarter on the handle side.
Robert Glen Goldstein: It's hard to predict, isn't it? I mean I don't think we forecasted a $770 million quarter. I don't think we have a clear view of this is sustainable, this go forward. it's proving that it would be an amazing market, and we have the best assets by far in the market. So how high is up and how deep is that well? I don't know. I mean the truth is it would be very difficult to dismiss these results and say, we are now heading for $2.5 billion. Can we get to $2.6 billion, $2.7 billion, can continue? Shaun, it's very hard to predict. It's not an easy market. There's never been anything like this in the history of gaming anywhere. You realize this thing at this run rate is a $3 billion asset. We don't expect to do that now. But I think, yes, $2.5 billion is realistic and doable. But I would not want to venture a guess, and I wouldn't want to dismiss the results, but I want to overhype them and say every quarter is $750 million. I think that's unfair. But could we do $600 million plus or $650 million? Possibly yes. It depends on how strong the economy remains over there and the super high end of the market there, and we dominate it, and we're kind of low in that place as far as the super high end. So it could be that we're looking at a whole new world in Singapore, and we'll have to wait and see. Time will tell. We just don't know because we didn't see this coming this early. We thought it would come later. Let's see. Let's deal with it.
Operator: Your next question is coming from Dan Politzer from JPMorgan.
Daniel Brian Politzer: I just -- I wanted to go back and circle on Macau, right? It seems like you guys are going to be more promotional, you're going to get -- be focused on generating that EBITDA level. Is there a targeted EBITDA share that we should think about that kind of gets you to where you want to be, just looking at the historical 33% to 35% EBITDA share you've had in that market? Or how should we kind of assess your strategy there and your KPIs for getting back to a level you think is appropriate?
Robert Glen Goldstein: I think we should take this one step at a time. Our goal, we acknowledge our failure in believing our assets were so strong we can overcome this very different environment we used to. We've now jumped the water. We're not leading the market. We're simply in the mix. And that's a good thing. I believe our assets -- our short-term goal in the near quarters is to get -- we believe the Londoner and Venetian can generate $2 billion between them. We believe that the Four Seasons do $300 million plus. I'd say Parisian do $300 million plus. We think the Sands can do $100 million more because things are changing down the Peninsula. Our short-term goal, my goal, and I hope the team shares that is that we can get to $2.7 billion run rate and come off the bottom here. I think at $2.2 billion, $2.3 billion, we're just not performing well enough. We have the best assets. So 3 things: acceleration of GGR is very helpful. And the most important thing by far is that. Second thing is we have the best and the biggest assets in that town, the most rooms, the best product. And third thing is we've come off our thinking. We've changed our thinking. So I'm hoping that Grant and team can see in the near future, 600-plus, 650 down the road and get uses back to the $2.6 billion, $2.7 billion range. That's our short-term goal. Beyond that, wait until the market matures, let's face it. If this market turns on the accelerator at this rate, we might see everyone doing much better. That would be the best thing for all of Macau. But I think it's very possible that happens in '25, even '26, '27. So this is just our acknowledgment that we did not do a good enough job in that environment, and we're doing it now. And we have full faith in our team over there and our assets to perform and get us back in the game.
Daniel Brian Politzer: Got it. That's a helpful detail. Just a follow-up on Singapore. Is there any way to kind of wrap our heads around that sudden acceleration in those gaming volumes? Because it does seem like it was pretty concentrated on just the gaming side. And I mean, we're trying to parse this out if there was new customers, maybe reception for the property improvements and new suite product, anything in the event calendar? Just trying to make sense of what's obviously typically the seasonally softest quarter of the year here to be so strong.
Patrick Dumont: I think a lot of it has to do with the product. We spent the last couple of years reinvesting there significantly, not only in the physical product, but also in the service levels and the experience that we can provide to people. And the type of customer we have coming through the property and the nature of where Singapore sits today, the growing economies of wealth creation in Southeast Asia, it's just -- it's all working. We have a very strong view on the future of Singapore. And you can see by the type of customers that we have coming in that it's not only a very strong market, but it's very deep. And so for us, yes, there's new customers coming in. They're attracted by what we have on offer. They're coming to Singapore to do business. They're coming to Singapore for leisure travel, and they're showing up on Marina Bay Sands and they're consuming. So it's great. It's a tribute to the team there and the investment that we've made in the way we execute. But really there, it's just a reflection of who's coming into the market and the fact that we provide experiences that are pretty unique, and they're really taking advantage of it. We're a different building than we were 5 years ago. If you come and visit and you see it, you'll see the differences and realize that we attract a very high level of patron.
Robert Glen Goldstein: I think you also have to give credit to the government of Singapore, which allows us to dream and excel. And Patrick referenced that building over there last week for the groundbreaking member of our second building. It's an amazing place, but the market is also 4 billion Asian people at the very top end looking for an extraordinary experience and assets we have in space over there. I think that the truth is that building is just the most desirable with super high end, and there's lots of them. There's a lot of people coming to Singapore. And propensity gamble, as you know, is high in that part of the world. So we're just in a very fortunate position. And I don't see it changing. I think we're in a very privileged position and hopefully it goes on for quite a long time. So we are not one to forecast that it's $600 million, $700 million, $800 million a quarter. But we know we're in the right place, right time with extraordinarily strong assets and excellent government support and a very strong market in terms of Singapore visitation.
Patrick Dumont: I think one other thing that's important to note is we started to see some angling of this as we started finishing the renovation. But now everything is pretty much done. And so we're starting to see the results as we build customer experience and as they get to experience the property and see how it is to be there and the different things that we offer in this new format, and it's starting to show results. I mean this is really just a direct result of the completion of the renovation and the type of customers that we can attract with the products that's there now.
Operator: Your next question is coming from Brandt Montour from Barclays.
Brandt Antoine Montour: So my first question is on Macau. I think from where we sit, it's sort of hard to -- we see clearly a strengthening of the Chinese consumer in your market and gambling propensity. I was wondering if you could flesh that out a little bit and talk about spend per visit improvement sequentially across either base mass or premium mass. We all kind of thought it would be a premium mass sort of recovery here in May and June. But looking at your slides, it looks like base mass per table actually did better. So maybe you could just provide a little more color on who's spending more where.
Kwan Lock Chum: Brandt, maybe I'll take that question. I think overall visitation has been very strong. You see the results for April and May were up by over 20% year-on-year. Obviously, a lot of that is driven by the day trip visitors from the Greater Bay Area. But nonetheless, I think that's helping to drive some of the base mass recovery. But no question, I think the acceleration in GGR is still primarily driven by the premium segments. I think this quarter, in particular, the market benefited from some big rolling play, but also at the high end of the premium mass. So I think that those dynamics remain similar to previous quarters. But we're beginning to see also an increased level of visitation, albeit more from the Greater Bay Area in terms of day trips. And of course, from our results as well, sequentially, I think you alluded to it. Clearly, we grew quite significantly in the base mass non-rolling win against Q1, and that's partly driven by the opening of the Londoner brand.
Brandt Antoine Montour: Okay. That's super helpful. And then just a quick follow-up on Macau. The Londoner results clearly had a nice bounce here in the second quarter. And you alluded to in your prepared remarks that some of the other properties didn't do quite as well. Am I to read between the lines that the Londoner is the property that has received the most incremental reinvestment activity and the other properties have not, and that's kind of next up in terms of your sort of blueprint or game plan here? Or is that not the right read- through?
Kwan Lock Chum: No, that's not entirely accurate. In terms of our higher reinvestment levels, that just went into the portfolio across the board. I think what we were referencing earlier remarks is that we may need to further -- and we have been further adjusting our reinvestment levels during the quarter towards the end of the quarter for some of our smaller properties because we think those products, given the size and the product level may need recalibration in the reinvestment levels versus the natural patronage that is flocking to Londoner and also the strength of the property like Venetian continues to be able to attract customers at all segments.
Operator: Your next question is coming from Robin Farley from UBS.
Robin Margaret Farley: Just going back to the acceleration you talked about in June in Macau, it seems like it's driven at least a fair amount of it by the events calendar. And so how do you get comfortable that it's sustainable as you get past some of the July events and the calendar not being as sustainable in terms of events?
Kwan Lock Chum: I think, Robin, the calendar is being filled literally every week, every month by all of the different operators, us included. The change from before the pandemic is really every operator is contributing to the events calendar. And of course, the big events brought in, whether by us at the Venetian Arena or by our competitor it's beneficial to the entire market when we have significant acts. And that will obviously not be a consistent pattern because acts come in different times of the year and different lengths of duration play and so on. But you can be sure that the calendar will continue to be filled with great entertainment content. And I think Macau has really been successful in establishing itself as a regional center for entertainment, be it from Greater China artists, Asian artists and even international artists.
Robert Glen Goldstein: Robin, I would just add to Grant's comments that I think it was last year, I wouldn't gave us credit in Singapore because Taylor Swift made the whole thing happen. She wasn't available this quarter and we still did pretty well. I think the truth is -- I think she was -- couldn't get her comment. She was busy. But the truth is we have in Macau, yes, lots of events. But I've learned over the years, events just rearrange the customer visitations. They don't necessarily create new as much as they rearrange when people come and go. And I think that, that market is just showing strength to strength. I mean, June results, I think you just see it building. And yes, there's no question that you have a Jacky Cheung and some of these high-end entertainers help. But again, I think you have to look at the strength of the market overall. And I believe it's there. I haven't been there last month, it looked the first time, it looks a lot like pre- pandemic Macau, very strong, lots of people at the tables. I don't believe the entertainers, even special events actually create more visitations, rearrange when you come. But so I wouldn't be that concerned with the event count, although it's chock-full events, everyone has entertainment these days and terrific restaurants, et cetera. But I think you have to look at the overall results in the last few months to be very encouraged where Macau appears to be heading.
Robin Margaret Farley: Okay. Great. And for the follow-up, just a quick one. Are you thinking about revisiting what you consider a normal hold percent in Singapore? And I know you just raised it in Q1, but I'm wondering if you're thinking about whether that 3.7% was high enough for normalized hold.
Robert Glen Goldstein: I wouldn't let one quarter drive your thinking. I think you have to stay focused on -- again, this is a very difficult thing for us and other competitors because, as you know, hold percentage is a moving target these days driven by who bets, what and how. And so it really does move. As you know, the smart tables have enabled us to see much more clearly a great insight to how the market should perform. I don't think we'll move our whole percentage right now until we see more evidence. But -- it does change with the market and the visitation and the types of bets customers make. The old days, it was 2.85%, 3.2%. That's no longer in vogue. It's now very much a moving target depending on who's coming, what they're betting, side bets versus flat bets. I think we'll come back to you in the future if we need to reassess right now, I think we're fine where we're at.
Operator: Your next question is coming from Joe Stauff from Susquehanna.
Joseph Robert Stauff: In Singapore, maybe a different attempt to ask a similar question that we've heard earlier on the call, but can I ask about just sort of mass gaming revenue and how strong it was? Is that simply a function of better hold? Is it increased visitation? It's admittedly another question to just try to try to benchmark with the newer product that you have in Singapore, how strong this number could be? Obviously, VIP is a separate category, different level of volatility. But how much -- is there any way to disaggregate this number a little bit more for understanding?
Robert Glen Goldstein: I hate to say this, I like the answer, but it's very difficult for us to do it as well as you. When you do $843 million, up 97% pre- pandemic and 40% higher year-on-year. It's hard for us to get our hands around it. But there's an awful lot of people showing up in all these segments and gambling outsized amounts of money. And your question is a fair one. I wish we had better answers. How deep is the well? How high can this thing go? We're confused ourselves by it because we expected $2.5 billion. Now I think we can say we can achieve it this year. And I think it's a combination of an incredible market, incredible access to people want to get there. The Visa situation is helpful. And I think you're seeing the results of very, very superlative results in terms of building. The building is just unique and special, and there's lots of products. So I know it's difficult to -- I hear your frustration. We share it. We don't over -- we don't want to exaggerate this and say we're run $3 billion. We also don't want to underplay it. We want to accept the fact that it happened and it's happened now 2 quarters in a row with strong results, hoping for a similar second half of the year. And it's hard to model. I'd be blunt with you. And I think one thing I would say, when you say mass gaming, premium mass gaming is alive and well in those numbers. These are non-rolling, very high rolling -- don't consider people betting $1,000 a hand. This premium mass segment, which is in that $847 million number -- $843 million is a lot of very, very high-end non-rollers, which is different than past Macau. So I appreciate the commentary. Your question is very fair. I wish we had more insightful answer. But we keep watching this thing and saying, yes, we watched the quarter with amazement, but it just kept coming, and I think it will just keep coming in Singapore. When we beat the customers, it's a different issue. Was it 3.7 or 3.3? We never could know. But if the volumes look strong, and to me, it appears like we're in a run here, then it may last for a long time.
Joseph Robert Stauff: Got you. And then maybe a follow-up. Formula 1 is pushed in the fourth quarter in Singapore this year versus September last. What's the right way to think about whether or not the rest of the building can absorb that normal activity? Or is -- do you view that as a bit of a headwind?
Patrick Dumont: Formula 1 is always a great event for Singapore. It's something that we fully support. We're an integral part of, and we always welcome it. And I think our patrons really enjoy it. A lot of visitors show up at Singapore because of this event. And for us, whenever it happens, it's great. So if it's third quarter, fourth quarter, we're happy with it. We do our best to support the initiative around it because we think it's great for Singapore. It's great for Marina Bay Sands, and the type of customers that show up are always very helpful. But in terms of being able to accommodate customers in Q3 or during Golden Week with Formula 1, it's fine. Either way it works.
Operator: Your next question is coming from Chad Beynon from Macquarie.
Chad C. Beynon: Wanted to go back to Macao, Rob. You mentioned $2.7 billion as the near-term North Star, and hopefully, that eventually moves kind of back to $3 billion. But wanted to approach it from a margin standpoint. So Londoner had nice improvement in margin. The collective was down 80 basis points, as you guys called out. And the flow-through was obviously negative here for the quarter. But does margin matter as much in terms of how you're thinking about running the business? Or given some of the commentary that we've spoken about with promos, maybe we shouldn't have a margin target in mind, just because of simple inflation and different approach towards promo? Or is that still the case to get to closer to a 40% margin long term?
Patrick Dumont: So I think the key thing about Macao is that there's a very large fixed cost base in our property portfolio. And so our margin is going to be determined by how much revenue we can push through these buildings. And so if our promotional activity, if our customer reinvestment makes us a little less competitive and we have less revenue, our margins will be impacted. So I think for us, ex hold, right, if you ignore the impacts of hold, if we continue to have the best properties where we have great offerings for our customers and great experiences and then we reinvest in a more market-competitive way, we think we'll still have the ability to drive revenue at an appropriate margin. And so if you look at the margin regime where we are today, that's okay for now. But as we grow revenues to grow the business, over time, there might be some opportunity for some upside. But I don't think we're looking at a specific EBITDA margin in terms of our reinvestment guidance. Our reinvestment guidance is going to be based on the market and hopefully, we'll grow revenues based on our product portfolio. We put a whole lot of new products into the market this last quarter, right? The Londoner Grand is a whole new building. And the casino performance there has been great. We have tremendous slot performance coming out of the Londoner total portfolio. And I think for us, as you heard Grant, as you heard Rob mentioned before, we have some work to do. That being said, we think there's opportunities in the Parisian. We think there's opportunities in the Four Seasons. And even downtown at the Sands, we think there's opportunity. So while we keep pushing the Venetian and the Londoner, our segmentation has different reinvestment requirements. And we're going to keep looking at it and evaluating the segmentation across the different properties to ensure that we can optimize for revenue growth and cash flow growth. And so we're not targeting a specific EBITDA margin, but will leave over time as we have the opportunity to grow revenues, the margin will follow.
Robert Glen Goldstein: And Chad, margin does matter, but EBITDA matters more. And in any business, you've got to be sensitive to the environment you're playing in, and the environment there has changed. And we weren't sensitive enough. So now we need to adjust that. Coupled with our strong assets and you add that to a growing surge in GGR, I think you have a good formula. But obviously, we always want to be margin sensitive, but we want to be EBITDA sensitive, too. So it's a combination. It's not a simple question to answer, and each building performs differently.
Chad C. Beynon: Great. And then the news that we've seen in terms of the movement from the Thai cabinet withdrawing the bill at this point for legalized casinos, I guess there's probably no update from your end because we're probably reading the same information, but anything to talk about there or any other potential developments that you guys plan to pursue outside of the 2 markets that you're in?
Patrick Dumont: I think we're constantly looking at new development growth opportunities in new jurisdictions. We're evaluating them as they come along. It's something that we feel like in Thailand, there's a great opportunity there. If the legal framework and the regulatory framework is appropriate, it's something we'll definitely look at and consider. As of right now, as you just mentioned, there's not a whole lot to think about.
Robert Glen Goldstein: Thailand is the greatest opportunity in Asia or what's left of those countries. But it's so hard to tell what's going to happen day-to-day. It changes. But it certainly is, for anybody in our industry, a very important place if it ever actually comes to fruition.
Operator: Your next question is coming from Lizzie Dove from Goldman Sachs.
Elizabeth Dove: You mentioned earlier that the goal of the Londoner is to move towards the goal of $1 billion in annualized EBITDA. Curious, timing of that, how much more reinvestment kind of promotions are needed to get there and more so just the cadence to get there?
Kwan Lock Chum: I think we've only just started ramping up the property. I mean, if you think about the Londoner Grand, it really only fully launched in -- from May onwards. So we're still in the very early innings of the ramp-up in Londoner. And we're already running close to $800 million annualized. So we do see opportunity to yield higher and higher across all of the hotels in Londoner Macao, but especially Londoner Grand. I think Patrick just referenced there, we're seeing exceptional slot in ETG performance out of Londoner already, way surpassing what this building was achieving in 2019. And I think we're seeing high levels of non-rolling table performance as well. And so as all these segments continue to grow and we put higher quality customers into the suites and the rooms, we will get to that $1 billion annualized that Rob referenced. That's the goal. We don't know exact timing, but we're really only at the very start of the ramp-up of the property.
Elizabeth Dove: Got it. That makes sense. And then just going back to the promotionality side of things. Obviously, it's something you've been kind of ramping up over the last couple of months. I'm curious what you've seen from other players and how the competitive environment has evolved? Whether they've responded with same level of promotionality? Whether there's been irrationality at all in the market? Just what you're kind of broadly seeing in the response to that.
Kwan Lock Chum: The market continues to be very competitive. I don't think the intensity is dropping at all. Each operator is fighting for a greater share of the pie. And the main difference, of course, this quarter is that we also are in the mix now in terms of reinvestment levels back to the customer. And we see the response and we see the initial signs are encouraging. And of course, it is more biased towards the high- end segments where the levels of customer investment is shifting the players back to our properties or we're gaining new customers, especially through the Londoner. So that process will continue, and we'll continue to evaluate. But we don't expect the competitive dynamics to ease off. I think that will continue to be intense. But of course, a high level of GGR and acceleration in the market growth will help all of us. But like Rob mentioned, that's still the single biggest factor in determining the results of not just outperformance, but of the whole market.
Operator: Your next question is coming from George Choi from Citigroup.
Shui Lung Choi: So over the past several months, we've seen you guys took the side bets from Marina Bay Sands and introduced them to your Macao operations. And just recently, we saw you guys added a progressive jackpot to your baccarat [indiscernible] in Macao, and we believe that those also brought in from Marina Bay Sands. So my question is, do you still have any best practices at Marina Bay Sands that your Macao operations can learn from?
Robert Glen Goldstein: It's a work in progress, George. Obviously, we trade information back and forth based on best practices, and we saw a lot of success in Singapore with side bets. I think we'll see it in Macao. And we continue, as you know, ahead of us, you're selling on top of this, it's [ frightening ], but congratulations. I think the truth is we're learning as we go. I'm a firm believer that these markets aren't that different in terms of customer activity. And I think in the end, you'll see a lifetime result in Macao in time. It's newer to Macao market, takes a little longer to get approved there. But we're really confident that this new era of smart tables, side bets, which is increasing hold percentage for everyone, all of our competitors as well, is highly positive for the industry and exciting for the customers. So time will tell how long it takes to see the increased hold percentage and how much they move towards side bets. But we're big believers in this. As long as -- we're trying to be very innovative, as you alluded to in your comments and how we view the markets and gambling. It's changing every day. We want to be leaders in that evolving process.
Operator: Your next question is coming from David Katz from Jefferies.
David Brian Katz: I wanted to start with Singapore where there's obviously significant investment coming for further expansion. And things have started to finally really go well in the core building and frankly, you've been waiting for it for a few years. I want to make sure, one, there isn't construction disruption; or what, if anything, just to make sure, could sort of impact the momentum that you have there in Singapore?
Patrick Dumont: So just a couple of things. The site is adjacent to Marina Bay Sands. So in the renovation work we did at Marina Bay Sands in the prior years that you referenced, it was actually an actively and operated building while we were doing it. So it's a little bit like changing your tires in the middle of an F1 race while you're driving. And so we did that. And so the good news is the building is, in terms of suite renovation, the interior is complete, and we're starting to see the benefits of that and the results this quarter. Our expansion, and we actually had the groundbreaking last week. Dr. Adelson was there, Rob was there, Grant was there, I was there, some other members of the LVS management team were there.
Robert Glen Goldstein: Adelson was there.
Patrick Dumont: And most importantly, the Prime Minister and the Minister Grace Fu, who is responsible for our portfolio, was there, and it was an amazing groundbreaking. And we're very happy to have the government support, and we're very fortunate to be in Singapore. And so this is a very important complex for tourism for both leisure and business tourism in the market. And for us, any disruption is something we take really seriously. And so the good news is we have a little bit more than 7 acre site directly next door, and it's all its own site. And so when we build this, ultimately, there will be connections back to Marina Bay Sands. But during the construction, it's not going to impact our ability to conduct operations. So unlike the renovation we just did, this is something separate in the state. And then we'll bridge over to it during the construction process but it won't be disruptive.
David Brian Katz: Perfect. And if I can ask one quick follow-up on the strategic evolution in Macao. You talked about reinvestment rates. But I wanted to ask about credit and whether that's a tool that you would be using and how that starts to show up. Does it sort of show up maybe later on? And on the cost side of the equation, is there any of that in there that we should be keeping our eye out for?
Kwan Lock Chum: No. I think in terms of the credit base play, it's a very small portion of our overall GGR traditionally. And we've been doing this for 2 decades. We extend credit to some premium patrons in the direct rolling programs. But it has been a consistent practice of ours, and we are very experienced in it. But it's not a significant part of the GGR.
Operator: Your next question is coming from John DeCree from CBRE.
John G. DeCree: I wanted to ask, one, about your retail mall portfolio, particularly retail sales. We're seeing a little bit of acceleration in Mainland China. It looks like in Macao, you've seen a little bit of lift in the 2Q as well. We got a lot of questions about the sustainability of GGR growth, which you fielded already today. But curious if you could give us some thoughts on what you're seeing in the retail mall, particularly on the luxury side of things.
Kwan Lock Chum: Thanks for the question. The retail mall tenant sales are starting to see a good recovery in the second quarter. So we were in positive tenant sales year-on-year basis. We've grown by about 10% across the retail mall portfolio in Macao. And within that, Luxury is still relatively weaker versus the rest of the portfolio. But we did start to see, within the quarter, signs that even the luxury sales were improving, partly because also we have been introducing some pretty amazing flagship stores in some of the key luxury brands in the portfolio. So you'll continue to see that being a feature of the Four Seasons more into the beginning of 2026. So there are some improvements that we are making ourselves that should help to lift the luxury sales portion of the mall. But overall, we're happy to see that the mall is back in a positive sales territory, double-digit growth in the second quarter compared to last year.
John G. DeCree: Maybe if I could follow up with one big picture question about visitation. So visitation from Mainland ex Guangdong, which you've highlighted in your slide deck is kind of sluggish to recovery relative to the day trippers in the Bay Area. Given your room base in Macao, it seems like this is probably a pretty big opportunity. So curious your views if there's an opportunity and what can be done to kind of help Macao start to penetrate deeper into Mainland and see some of that visitation outside of Guangdong and come back?
Kwan Lock Chum: Yes, it's a great question. And I think Dan and his deck has the breakout of the province's visitation as compared to 2019. It's on Page 20 of the deck. I think what you see is, yes, you're right, overall, excluding Guangdong, the recovery of visitation is still lagging. But within that, it's very uneven. So some of the wealthier coastal provinces and the major cities, we are seeing recovery beyond the 2019 visitation levels. And some of the other provinces are lagging much more significantly. So I agree it is an opportunity. And I think Macao and the operators are continuously doing the destination marketing roadshows across the different parts of Mainland China as well as overseas, and that will continue. Transportation is continuing to improve in terms of pricing and connectivity. And of course, the availability of hotel rooms and of course, we've been adding high-quality inventory as have some other operators as well. So we expect all of those factors to drive better penetration in the non-Guangdong visitation numbers, especially helping to drive that overnight visitation, which is clearly the higher spending segment. But that said, the overall hotel inventory in Macao is not significantly growing. So that will continue to add as a constraint on the overall overnight visitation. But I think what you see is a continued improvement in the quality of the tourism coming to stay overnight in Macao.
Operator: Your next question is coming from Steve Wieczynski from Stifel.
Steven Moyer Wieczynski: Most of my questions have been answered. So just one for me. So Rob or Patrick, I mean, as we think about Singapore, and Patrick, you mentioned you guys just started construction on IR2. But based on what you've witnessed over the last 6 months, 8 months coming out of IR1 and the kind of the crazy numbers that you guys have been putting up over there out of IR1. Has that changed your internal return assumptions for IR2 at this point?
Patrick Dumont: I don't think so. Look, I think we generally have a view that Marina Bay Sands in Singapore is an investment-driven story. And so the more we invest in high-quality assets, the better service levels we have, the more we're going to have pricing power, the more we're going to be able to differentiate our products and the more high-value tourism we'll be able to bring it. And because of that, we'll get more revenue, we get more EBITDA. So you're seeing that happen this quarter in Singapore. It's the full product -- the full power of our suite products, the full power of our food and beverage offerings, our MICE offerings. Everything is really coming together, all the entertainment we do, high level of service. But we have a great premium mass customer base there. Look, the shopping, all the other things that we've added, it's really a very unique lifestyle program that we offer to people. And so for us, IR2 is just an extension of that. Look, our goal is to have the best hotel in the world there, to have the best gaming experience, the best food and beverage and then have this live entertainment venue, the likes of which we've never had before in terms of to be able to drive customer visitation. So we feel very strongly about this. It's a $6 billion investment, $2 billion of premium that we have to pay to the government, and we feel very strongly about the quality of that investment and where it can go. So adjustment in models is not where we're at now. It's a very long way away. We've got a couple of years before it opens. But in our mind, this quarter, and actually, to be fair, what we'll be seeing in the quarters leading up to this in terms of the high quality of patron that we have, just validates the fact that we feel very strongly this will be a high-quality investment. And so while we haven't adjusted our models in any formal way, I think this just validates, long term, in our minds, the quality of the market and the strength of Singapore.
Operator: Thank you. That completes our Q&A session. Everyone, this concludes today's event. You may disconnect at this time, and have a wonderful day. We thank you for your participation.